Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. My name is Kelvin, and I will be your conference operator today. At this time, I would like to welcome everyone to Ameresco Inc.'s Q4 2025 Earnings Conference Call. [Operator Instructions]  I would now like to turn the call over to Leila Dillon, Chief Marketing Officer. Please go ahead.
Leila Dillon: Thank you, Kelvin, and good afternoon, everyone. We appreciate you joining us for today's call. Our speakers on the call today will be George Sakellaris, Ameresco's Chairman and Chief Executive Officer; and Mark Chiplock, Chief Financial Officer. In addition, Josh Baribeau, our Chief Investment Officer, will be available during Q&A to help answer questions. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 of our supplemental information and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations of these measures and additional information in our supplemental slides that were posted to our website. Please note that all comparisons that we will be discussing today are on a year-over-year basis, unless otherwise noted. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila, and good afternoon, everyone. I am pleased to report that our fourth quarter results represented a great finish to a year of strong performance with annual results reaching the mid- to high end of our revenue and profit guidance. Excellent execution by the Ameresco team, together with the recurring revenue contributions from our energy asset and O&M businesses were key drivers to our success. And this success was achieved even amid concerns surrounding potential Department of Government efficiency actions early in the year and the 6-week federal government shutdown in the fourth quarter. Importantly, our results were broad-based with growth across all 3 of our core business lines, including strong growth from our European operations. And while our team continues to be laser-focused on contract execution, converting a record $1.5 billion of project backlog into revenue this year, we also saw excellent new business activity, including meaningful project scope increases in our federal backlog. This helped to drive our total awarded backlog to over $2.5 billion, up 13% from last year. Also, Europe was a strong contributor this year and represents a real success story. We first entered Europe over 10 years ago with a small acquisition of a U.K.-based energy consulting firm. But more recently, we have focused on expanding our business in Continental Europe. As doing business in Europe requires a localized presence, our European growth strategy has been driven by opportunistic acquisitions such as Italy-based Enerqos and partnerships in various target countries. We focus on smaller opportunities and then use the power of Ameresco, our technology and process know-how and financial resources to accelerate and drive growth. Geographically, we have focused on Southern and Eastern Europe, areas which are experiencing higher rates of growth with fewer large domestic entrenched competitors. Our 51% owned joint venture with the Greek-based SUNEL Group is an excellent example of this approach. The joint venture was created on April of 2023 to pursue utility-scale PV and battery energy storage opportunities. After great success in Greece, the joint venture has since expanded this business, including a few recent large wins in Romania. We expect to continue to grow in Europe organically and through opportunistic acquisitions and partnerships. Europe not only represents an excellent growth market, but it also provides important diversification as demand drivers in Europe are not subject to the same U.S. political and policy variables. We look forward to providing additional updates on this important aspect of our company's future growth. Before I hand the call over to Mark to cover our results and outlook, I would like to briefly highlight a number of key industry growth drivers and how we believe Ameresco can benefit from them for years to come. The first key driver is a rapidly growing demand for electricity. This has been driven by the electrification of built-in and transportation, the power needs for many high-technology industries and the growth in industrial manufacturing. Overall, electricity demand is expected to increase by 78% by 2050 needing 80 gigawatts of capacity added every year for the next 20 years. Meeting this demand will be a significant challenge to our aging system of centralized generation and the associated transmission infrastructure. As a result, many of our customers are choosing to install on-site behind-the-meter generation and storage solutions. Ameresco has been providing the portfolio of these solutions since the founding of the company, including not only solar but also battery energy storage systems, natural gas engines, gas turbines, fuel cells and microgrids. We are also exploring the next generation of energy infrastructure technologies like micro and small modular nuclear reactors. This power and storage solutions will be a key element to supporting ongoing global energy demand needs. Second, increasing energy costs is another key industry driver for which Ameresco is well positioned to benefit from, particularly through our built-in efficiency solutions. As electricity prices rise, energy efficiency investments made by our customers deliver faster payback and stronger returns. Energy efficiency is often the most economical solution for existing buildings. According to Frost & Sullivan, Ameresco is the nation's largest provider of energy efficiency services, which represent nearly half of our current project backlog. Third, the increasing stress on the country's aging energy infrastructure from high demand and the critical nature of an interruptible power is quickly driving a growing demand for resilient energy solutions. High nice power is not only a must-have for critical high-technology industries such as data centers, but also for industrial customers where even limited downtime can have significant cost of production consequences. Advancements in lithium battery technologies as well as rapidly declining costs have driven tremendous growth in the use of battery energy storage solutions over the last 5 years. Ameresco has a very long track record of providing resilient solutions at military bases across the country, keeping their mission critical functions running in case of grid power interruptions and thus making us a go-to provider across all end markets. As you can see, we believe Ameresco is very well positioned to benefit from these long-term trends that should help drive profitable growth for many more years to come. Now I would like to turn the call over to Mark to provide financial commentary on this quarter's excellent results as well as provide our outlook for 2026. Mark?
Mark Chiplock: Thank you, George. This was another strong quarter for Ameresco in a year defined by consistent execution. Despite the Q4 government shutdown, we delivered record quarterly revenue of $581 million, up 9% year-over-year with growth across all of our 4 business lines. These results underscore the durability of our diversified business model and the disciplined execution of our team. Projects revenue grew 11%, driven by strong backlog conversion and continued solid performance from our European joint venture with SUNEL. While we converted a significant amount of backlog in the quarter, we still maintained our total project backlog above $5 billion, reflecting sustained demand for our comprehensive energy infrastructure solutions. Energy asset revenue increased 5%, driven by the growth of our operating asset portfolio. We placed 87 megawatts into operation during the quarter, including our ninth RNG facility, a large military solar plus storage installation and the Nucor BESS system. For the year, we exceeded our guidance, placing 121 megawatts of energy assets into operations, bringing our total operating assets to 838 megawatts. We also added 30 megawatts to our energy assets in development, continuing to balance backfilling our energy asset pipeline with our disciplined financial approach to new asset opportunities. Our recurring O&M revenue increased 11%, reflecting continued attachment of long-term service agreements to our completed project work. Our long-term O&M revenue backlog now stands at approximately $1.5 billion. When you combine our project backlog and the future revenue streams from our recurring O&M business and portfolio of operating energy assets, we have over $10 billion in long-term revenue visibility. We believe that level of visibility is a real strength in this challenging environment. And finally, our other line of business, excluding the sale of our AEG business at the end of 2024, delivered solid year-over-year results. Gross margin was 16.2%, up both sequentially and year-over-year. This reflects continued improvement in project mix, higher quality backlog and disciplined cost management. Operating expenses in the fourth quarter were $50.9 million compared to $47.8 million last year. The increase reflects targeted investments in people, project development and execution support as we manage revenue growth, more complex infrastructure projects and continue replenishing backlog. Importantly, operating expenses are growing materially slower than gross profit, so we're still preserving operating leverage in the business. As we move into 2026, we expect to continue investing prudently to support demand and drive growth, which is reflected in our guidance. Net income attributable to common shareholders was $18.4 million with GAAP EPS of $0.34 and non-GAAP EPS at $0.39. Adjusted EBITDA was $70 million, resulting in a margin of 12%. As a reminder, last year's fourth quarter adjusted EBITDA results included the $38 million gain on the sale of AEG. Turning to our balance sheet. We ended the quarter with approximately $72 million in cash and corporate debt of approximately $300 million. Leverage under our senior secured facility was 2.7x, comfortably below the covenant level of 3.5x. During the quarter, we secured approximately $175 million in new project financing commitments. Adjusted cash flow from operations was approximately $36 million, including proceeds from ITC sales. On a longer-term basis, our 8-quarter rolling average adjusted cash from operations was approximately $54 million. Now let me move on to our 2026 guidance. We entered the year with strong business momentum and visibility, supported by continued strength across our end markets. Increased industry demand, combined with the recurring revenue from our growing energy asset and O&M businesses provides clear visibility into another year of strong growth. As detailed in our press release, for 2026, we are guiding to approximately $2.1 billion of revenue and $283 million of adjusted EBITDA at the midpoint of our ranges, representing growth of 9% and 19%, respectively. We expect to place approximately 100 to 120 megawatts of energy assets into service, including 2 RNG plants. For some quarterly shaping, the cadence of the year should follow our historical seasonal pattern with a heavier weighting towards the second half. We expect revenues in the second half of the year to represent approximately 60% of our total revenue for 2026. This is consistent with our performance from the past couple of years. As we look to the first quarter, which is seasonally our lowest revenue quarter, we expect revenue and adjusted EBITDA to be generally consistent with Q1 of last year. The quarter reflects normal project timing and the recent severe weather that has impacted execution across several regions. As noted in the earnings release, Q1 EPS is expected to be lower year-over-year, primarily reflecting higher interest and depreciation expenses from our growing energy asset portfolio as well as continued investment as we scale the business. Before closing on guidance, I want to briefly clarify how certain structural items impact both adjusted EBITDA and EPS. As George mentioned, we operate certain parts of our business through joint venture structures, including our SUNEL JV in Europe. Where we have control, we consolidate 100% of revenue and expenses. However, a portion of both adjusted EBITDA and net income is attributable to our JV partners and reflected as noncontrolling interest. As a result, the adjusted EBITDA and EPS we report reflect only Ameresco's ownership share of those consolidated entities. Given these factors have a significant impact on our results, we've provided estimated ranges for income attributable to noncontrolling interest in our 2026 guidance as detailed in our press release. In summary, 2025 demonstrated the durability of our model. We delivered consistent growth, expanded backlog, improved margins and maintained financial discipline. 2026 is shaping up to be another year of sustained profitable growth for the company as we believe we can continue to benefit from the many positive secular trends driving demand for our energy solutions. Now I'd like to turn the call back to George for closing comments.
George Sakellaris: Thank you, Mark. As Mark mentioned, during 2026, we will be building on our excellent momentum from 2025 to deliver another year of strong profitable growth. Our highly differentiated portfolio of energy infrastructure and built-in efficiency solutions are well aligned with customer demand. Over our 26-year history, Ameresco has proven to be one of the most consistent providers of these solutions. We are making targeted investments this year as we focus on technical innovation and drive long-term growth. As we have here today, we are very excited about our growth prospects for 2026 and beyond. We look forward to seeing many of you at upcoming meetings and conferences. In closing, I would like to once again thank our employees, customers and stockholders for our great success in 2025 and for their continued support in 2026. Operator, we would like to open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Noah Kaye of Oppenheimer.
Noah Kaye: There was a lot of anticipation there. I guess -- I know you don't formally guide to the segments in the outlook. But maybe just some shaping on energy assets as contemplated in the guide. The 121 megawatts placed in service did exceed. So kind of how do we think about the revenue trajectory there and kind of the margin profile? It seems like it should be a nice step up.
George Sakellaris: Noah, so I think as in previous years, the majority of the assets placed in service will kind of be towards the middle to the back half of the year. That's just kind of how things work with interconnection queues and the development cycle, heavy construction in the summer months, et cetera. And so that will generally look like this year. This year was very heavily Q4 weighted, I think 80-plus megawatts placed in service. So it may not look quite like that, but certainly more back half and middle loaded than linear. In terms of the margin contributions, really no reason to believe that the margins are any different per segment, battery, gas or solar as they are historically. And the mix is about the same. We've kind of given you the rough mix of what we expect to place this year. So -- and as you know, most of the assets we placed in service in any given year don't meaningfully contribute that year. It takes sort of a little while to ramp up to get commissioned and then 2. And then the real contribution is the following year. So this year has a lot of the impacts of the assets we placed in service in 2025, especially because it was back half loaded, much like the 2026 assets placed in service will have more of a meaningful impact on our '27 numbers, which we haven't provided yet.
Noah Kaye: Yes. Very clear. And then I think you mentioned in the prepared remarks, Mark, around kind of the first quarter shaping. You mentioned weather had an impact. Obviously, we all experienced firsthand, at least most of us that weather. So not a huge surprise, but can you maybe comment on what that meant for just some of the project work and kind of how you think about the sort of sequencing of getting rid of some of the associated labor inefficiencies and the like so that, that flows a little bit better in 2Q and the back half?
Mark Chiplock: Yes. I mean the weather, again, as you can imagine, impacted our ability to access certain sites, it impacted our assets. But -- so it's really just impacting the timing, the cadence of conversion. We expect to see certainly on the project side, that revenue to come in, in Q2 as we get kind of on the other side of it. But yes, I mean, it was -- we always try to look at Q1 with the best visibility we have coming out of backlog. This was unusual just given how severe the weather was. But again, we feel pretty good that, that is just timing, and we'll see that revenue come back in as we get outside of Q1 and later into the year.
George Sakellaris: If I may add a little bit there, Noah. We had the freeze up on 3 of our assets, the renewable gas assets, and that's correct, and that's not really recoverable. That's gone. But we have taken all that into account for our guidance for the year and the numbers for the first quarter.
Operator: Your next question comes from the line of George Gianarikas of Canaccord Genuity.
George Gianarikas: I'd like to focus a little bit on Europe and the momentum you're seeing now. In order to scale further, do you expect to do it organically? Or are you looking at maybe adding acquisitions to bolster your scale?
George Sakellaris: Like I said in my commentary, we are looking for accretive acquisitions strategically located, and we'll be very opportunistic in that regard and partnerships and expanding the partnership that we have with SUNEL. And as pointed out, we have great, great success up in Romania, and we are looking at a couple of other countries working with them and that be some RFPs that come out, and we're planning to go ahead and go after that particular business with that entity. But as I said, though, the growth in Europe, especially on solar and the next wave that's coming, the battery storage because those countries, they have so much solar and wind installations that -- and we are well positioned to take good advantage of that. So we're looking at very good growth opportunities in Europe. And of course, you don't have to put up with the U.S. political things that are going on over here. It's a great diversity for us, diversification.
George Gianarikas: And maybe as a follow-up, just to ask a little bit about recent momentum in data centers. You specifically mentioned momentum in behind the meter. Any update on what you're seeing in the data center market?
George Sakellaris: Look, we're getting more requests that we can handle once we announce a little more data center. And of course, we have, I would say, a little bit of strategic advantage from the other competitors, a, we can put the package together and provide high nice power for data centers. Otherwise, they might have gas turbines or might need battery storage and a microgrid, we are a company, we have been doing that for a long time. And we have a great, great pipeline. That's all I can say. But as you know, we're a little bit conservative when we announce a particular project. But we think it's going to be a great, great contributor for us down a little bit this year and much more down the next couple of years.
Mark Chiplock: Yes. Maybe what I'll just add to that, when we think about the timing of when those opportunities can start to come into backlog, we're going to really maintain some strong discipline in risk management as we look at those projects. There's a number of gating items that we need to make sure are derisked like engineering, permitting, equipment sourcing, financing, commercial structuring. And so a lot goes into making sure that those opportunities are real, and I think that's the approach we've been taking in bringing these assets or bringing these projects into the backlog. So as George said, pipeline is strong, but conversion timing is going to reflect how well we can derisk some of these gating items.
Operator: Your next question comes from the line of Ben Kallo of Baird.
Ben Kallo: Just maybe following on, I know that you had -- you put in a very high, if not record number of assets in the service in Q4. Just on timing of adding new projects to the backlog following on George's last question with data center. When should we expect to kind of get some of this stuff in the backlog? And then my second question is just around any kind of tightness in labor equipment or other that you would like to call out that are impacting kind of your speed to market here?
Mark Chiplock: Yes. I take the first one.
George Sakellaris: I take the second.
Mark Chiplock: Yes, I think as George mentioned, the pipeline is really strong for these behind-the-meter data center load opportunities. We're really trying to maintain some strong discipline at how we manage these projects from a risk management perspective. There's a lot of gating items that you need to go through from engineering, permitting, how we source the equipment. We obviously need to work out commercial terms. So it's going to take time, and we want to make sure that these opportunities are grounded in something real before we start to bring them into the backlog. So as we work through derisking those gating items, you'll start to see more of those opportunities come out of the pipeline and into our reported backlog.
George Sakellaris: And as far as the supply, we still have some challenges, but it has gotten better than what it used to be. during COVID, but we are not 100% there where we should be. We have challenges. We managed it through, but it has been a little bit better. And I think some of the things that they trip us up besides the tariffs, like, for example, what's happening with the lithium prices and so on. And so far, we have -- we learned to live with them, and we have incorporated into our forecast and our guidance as much as possible.
Operator: Your next question comes from the line of Stephen Gengaro of Stifel.
Stephen Gengaro: So 2 things for me. The first, just based on your guide, you have kind of a bit of upward momentum on the margin side. Can you just talk about what's driving that? Is it a specific segment? Is it just execution on certain areas? What's the big driver we should be thinking about for margins in '26?
Mark Chiplock: Yes. I think it's a great question. I think it's discipline and it's execution. We've been talking about this for the last couple of years, but we've really tightened our discipline in terms of how we select projects, how we price them, how we manage the cost. And so we are starting to see that coming through in some of the margin improvements. I think as we continue to take that approach to bringing new projects through the backlog and converting them as well as bringing more assets online and just growing out those recurring streams, I think that's where we're starting to get confidence in more of the quality of earnings and what we're seeing in this gradual improvement in margins.
Stephen Gengaro: Great. And the follow-up to that is, I might have to go back and look historically to get the snapshot exactly. But when you look at your total project backlog that you show in the presentation, are there any subsegments of that pie chart that tend to have higher margins or on the project size at all fairly similar?
Mark Chiplock: Yes. I mean I think as we see some of these larger, more complex infrastructure projects come in, I think the margin profile will be somewhat higher. Not -- I don't think it would be a spike in margins, but I think that with those mix of projects coming more into the backlog, they do bring a bit higher of a margin profile.
Operator: Your next question comes from the line of Manish Somaiya of Cantor Fitzgerald. Your next question comes from the line of Ryan Pfingst of B. Riley Securities.
Ryan Pfingst: Just curious if you can give a broader update on the RNG market in terms of new project opportunities going forward? And if you're considering any larger M&A as part of the strategy there?
George Sakellaris: I would say yes to both of them. Our backlog, I think Mark mentioned, we have at least 10 RNG facilities that they are in the backlog right now that will be built over the next few years. And in addition to that, there's no shortage of new projects out there. But it takes a considerable amount of money in order to develop those projects. And we try to be disciplined as to how many we take on at any given time. As far as mergers and acquisitions, we are open to it, and we are looking at some stuff, but nothing that is mature enough to talk about it. But look, we have done 26 acquisitions for this company. We grew it that way as well as organically. And we always look for good opportunities as long as they are accretive, and they add value at the end of the day to the company.
Mark Chiplock: Yes. And I would just say, I mean, we're still very excited about the opportunities that we're seeing. I think the compliance -- the demand from the compliance market is still pretty durable, but the voluntary markets are starting to see some growth as well. So the opportunities are there. And I think we're going to continue to be disciplined in how we bring more of those RNG assets into development and into operations to meet the demand that we're seeing.
Ryan Pfingst: I appreciate that. And then for my second one, firm generation ticked higher in terms of energy assets in development. Curious if that's going to continue to be the case just based on the type of demand that you guys are seeing going forward.
Mark Chiplock: Yes. I think we're going to see the firm generation that comes to some of these behind-the-meter opportunities will absolutely be there. I think from where we will either decide to bring these into our assets in development or turn them into EPC opportunities, I mean that's still a decision that we need to have. The larger these projects are, it's more likely that we'll want to go an EPC path. But yes, I think that, that -- that firm generation will be a large driver of those opportunities and projects coming through our backlog.
Operator: Your next question comes from the line of Julien Dumoulin-Smith of Jefferies.
Hannah Velásquez: This is Hannah Velasquez on for Julien. Congrats on the strong quarter. I just wanted to ask around the tariff landscape. We've seen some fluctuations in tariff policy following the Supreme Court order and then some commentary from the White House suggesting that there could be different levers to pull across different statutes like Section 301, Section 232, et cetera. Can you just go ahead and maybe outline the general risk in that area, maybe how you are managing that, if it's reflected in PPAs you're negotiating today? Yes, to the extent you see that as a risk?
Joshua Baribeau: Yes. I think -- and George and probably Mark's prepared remarks, we both -- we all talked about the challenging environment of 2025, largely driven by policy and things like that. So we're not I would say, overexposed or underexposed than our peers to these sort of global things. And obviously, whatever the President may or may not do and what the Supreme Court may or may not do in response to that, yadi yadi yada is not really where we're prepared to comment. But we have said previously that some of our newer contracts have protections for tariffs. We're building that into the contract where if there are tariffs, there are potential price adjustment mechanisms. And other than that, we're sort of -- we're just playing it by year. We're building contingency into our deals. We're doing some pricing, like I said, some price adjustment potential in contracts. And we're sort of crossing our fingers and just hoping things stabilize, but we're managing through it just as our peers are.
George Sakellaris: Well, if I might add there, one thing though about the state of the Union message for the President that he said that the hyperscalers, they should be doing their own power plants in order to provide their capacity. We thought that was a good opening and it will help us in the long term because as many of you know, I've been writing some articles saying that if we wait for the hyperscalers, they wait for the utilities in order to interconnect their power plants, we will lose the AI race. The only way that it can happen is they develop their own power plants at the end of the day, of course, they will get better reliability. And ultimately, it will be less expensive than doing it the other way. Because to get transmission lines, even though you have a large central power plant, it's going to cost you as much to bring that power to the load as it does to build the generation. So ultimately, everybody is going to bear off. So I think it's a great, great sales piece for our business.
Hannah Velásquez: Okay. That makes sense. And as a follow-up, just going off of that point, on the hyperscaler front, can you give us a sense of what the general -- if there is a generic mix between resources that some of the conversations you're having with hyperscalers look like? Is it more so biased towards firm power? Are you seeing any surprises, perhaps more of a weighting towards renewables, solar plus storage? But generally, what does the resource mix look like that they're interested in?
George Sakellaris: I mean across the board, the energy infrastructure, it's across the board. And right now, everybody is concerned, many of the industrial and commercials that we're talking about resiliency. And the other thing that they concerned a lot, speed to power. And that's why I say if they go, they wait for the utilities and the central power plants to happen and get the right of ways of transmission lines, which might take 5 to 10 years, you will lose the AI race. So speed to power it might be -- and many of them, not only they want gas turbines, but they want some renewable. So you will see that they have gas turbines, we have some solar, some battery storage at the end of the day, high nice power supply. And that's where we come in into -- Ameresco comes into the picture because we've been doing it on a military basis. Take the San Antonio, of course naval shipyard and I keep going on and on Fais Island, all of them. And some of them started in the previous Trump administration because they wanted to have resiliency in every, what I would say, critical base military base, whether it's naval or Army or the Marines [indiscernible] and so on.
Operator: Your next question comes from the line of Manish Somaiya of Cantor Fitzgerald.
Manish Somaiya: Two questions. One is, if you could just help us understand on the operating cash flow. Just give us a sense as to, I guess, how we should think about working capital in particular as we think about '26.
Mark Chiplock: Sure. Yes. I mean, look, we -- if you look at kind of Q4, right, from a cash flow, and I've said this a lot, quarterly cash flow can be lumpy, right? In Q4 cash flow, that really reflected kind of normal project timing and working capital movements. Obviously, that was a very heavy construction period. I think the right way to look at it, the right way to evaluate our cash generation is on a rolling multi-quarter basis. And I think that's why we like to provide that metric. It's a more realistic reflection of our implementation cycle. Like I said, quarterly cash can kind of move around due to construction timing and milestone billings. I think working capital, we've been a bit tighter on working capital because we've got some larger projects, they are coming through unbilled that are tied to milestones. And as we continue to progress those projects and achieve those milestones, we'll start to see unbilled convert through AR and cash, and you'll start to see that come through our cash from operations. So timing can vary kind of quarter-to-quarter, but we would expect our working capital to normalize across the year, and we expect to see kind of the normal, if not growing level of cash generation.
Manish Somaiya: Okay. That's super helpful. And then on the guidance, what gets you to the top end of the guidance? What are some of the milestones that we should be kind of looking for?
Mark Chiplock: Yes. I mean I think that's going to really come down to just execution, right? I think that the backlog is there, the opportunities are there. When we try to put our guidance together, we need to take a bit of a prudent look at how we think things can progress through the backlog and into the P&L. So I think if we can execute on these projects, we don't have other delays like some of the weather stuff we're seeing early in the year. Yes, I think it always just comes down to our ability to execute and kind of stay disciplined on how we manage costs. And I think that could represent an opportunity. But we feel really good about the midpoints just based on how anchored it is to our visibility coming out of backlog, assets we're bringing on, et cetera.
Manish Somaiya: And then maybe last one for George. High level, obviously, you look at the backlog, it's pretty impressive, a lot of opportunities ahead. You talked about growth in Europe. So as I think about the business the next couple of years out, I mean, how does Ameresco evolve as far as... go ahead. Sorry, George.
George Sakellaris: I think you will see us doing more and more infrastructure projects and a good chunk of business in Europe. The potential is there. And that's why we made the investment in the last couple of quarters and this quarter, we added a considerable amount of people with the engineering, development people as well as financial and execution, construction managers, especially senior level management, construction management people to execute on these larger projects because I think that you will see us doing more data centers, more storage or resiliency plans for the industrial customers, especially because the industrial sector for a long time, try to move energy efficiency projects that were very difficult. But now because they are concerned about resiliency and the higher cost of electricity, we're getting some good traction. So I think you will see us doing less on some of that much -- the business is there. We'll be doing much work, but the company will become much larger and driven by these larger opportunities, I would say, in the energy infrastructure sector.
Operator: [Operator Instructions] There are no appearing questions at this time. And with that, ladies and gentlemen, concludes today's conference call. We thank you for participating. You may now disconnect.